Operator: Ladies and gentlemen, thank you for standing by, and welcome to Halliburton’s Second Quarter 2022 Earnings Conference Call. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to David Coleman, Head of Investor Relations. Please go ahead, sir.
David Coleman: Good morning, and welcome to the Halliburton second quarter 2022 conference call. As a reminder, today’s call is being webcast, and a recorded version will be available on Halliburton’s website following the conclusion of this call. Joining me today are Jeff Miller, Chairman, President, and CEO; and Eric Carre, CFO. Some of our comments today may include forward-looking statements reflecting Halliburton’s views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. These risks are discussed in Halliburton’s Form 10-K for the year ended December 31, 2021, Form 10-Q for the quarter ended March 31, 2022, recent current reports on Form 8-K and other Securities and Exchange Commission filings. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Our comments today also include non-GAAP financial measures. Additional details and reconciliation to the most directly comparable GAAP financial measures are included in our second quarter earnings release and can also be found in the Quarterly Results and Presentation section of our website. After our prepared remarks, we ask that you please limit yourself to one question and one related follow-up during the Q&A period in order to allow time for others who may be in the queue. Now, I’ll turn the call over to Jeff.
Jeff Miller: Thank you, David, and good morning, everyone. This was an excellent quarter. Our financial performance shows that our strategy is working and driving value. Let's get right to the highlights. Total company revenue increased 18% sequentially as both North America and international activity continued to improve in unison. Adjusted operating income grew 35% with strong margin performance in both divisions. Our Completion and Production division revenue increased 24% driven by robust completions activity in North America and international markets. C&P delivered operating margin of 17% in the second quarter, the first time it reached this level since 2014. Our Drilling and Evaluation division revenue grew 12%. Operating margin of 13% was down sequentially as expected due to the seasonal drop-off in software sales but increased 270 basis points year-on-year. This gives us confidence in the strengthening margin profile of our D&E business. North America revenue grew 26% as both drilling and completions activity marched higher throughout the second quarter. Strong net pricing gains across all product service lines supported sequential margin expansion. International revenue grew 12% sequentially with activity accelerating in all international regions, particularly Latin America and the Middle East. Finally, we recorded a historic best operational performance as measured by nonproductive time for the first six months of this year. I am pleased with the strong performance Halliburton delivered in the first half of this year, and I thank all Halliburton employees for their hard work, contribution to these outstanding results and dedication to superior service quality. Before we discuss our execution in the international and North America markets, let me address recent market volatility. In the second quarter, central banks took actions and an attempt to control inflation, raising concerns about a potential economic slowdown. Despite this near-term volatility, I believe the oil and gas market fundamentals still strongly support a multiyear energy upcycle. From a demand perspective, oil and gas remains a critical component of long-term economic growth. Post pandemic economic expansion, energy security requirements and population growth will continue to drive demand. Today, oil and gas supply is tight, despite an environment muted by ongoing China lockdowns and jet fuel demand below historical norms. Meaningful supply solutions will take time, OPEC spare capacity is at historical lows, the strategic petroleum reserve release is unsustainable, and the risk to Russia supply remains high. On the industry side, despite high commodity prices, operators remain disciplined because of investor return requirements, public ESG commitments and regulatory pressure. In response, service companies invested for returns and did not overbuild. In short, this cycle has been nothing like prior cycles. This means, any economic slowdown will not solve the structural oil undersupply problem. At Halliburton, the steps we took to improve operating leverage, lower capital intensity and strengthen our balance sheet best equip us to outperform under any market conditions. Here's why we believe that. First, we used the pandemic to redesign the cost profile of our business. We structurally removed over $1 billion of costs, the most aggressive cost reductions in our history. This gives us strong and sustainable operating leverage that we see today in meaningful year-on-year margin expansion in both divisions. Second, we fundamentally lowered the capital intensity of our business and set our CapEx target at 5% to 6% of revenue compared to 10% to 11% in the prior upcycle. We advanced our technology so that new generations of equipment would have higher capital velocity. This lower capital profile is key to our strong free cash flow generation. Finally, we prioritize strengthening our balance sheet and retired $1.8 billion of debt since the beginning of 2020. This reduced our cash interest expense and put us within striking distance of our leverage targets. Now, let's turn to our second quarter performance and expectations for the rest of 2022. With energy security firmly in focus, the diversification of supply sources is the central theme in the international markets. Never has energy security been a bigger issue to governments and people all over the world. However, political agendas and years of underinvestment in many markets make it harder to address this critical requirement. As I look across the international markets, our customer spend remains on track to increase by mid-teens this year, with the Middle East and Latin America expected to grow the most on a full year basis. New project announcements across the world, including in the Eastern Mediterranean, Australia and West Africa, give us confidence in continued activity acceleration in 2023 and beyond. Longer term, we believe the international markets will experience multiple years of growth. Halliburton's international business is better prepared to benefit from the upcycle than ever before. We have a strong portfolio of well construction and completion product service lines. We greatly increased our drilling competitiveness. We are present in all the markets that matter and we have unique growth opportunities in the production space. Let me elaborate. The activity mix in this upcycle is different from prior cycles. Today, operators focus more on developing known resources and less on long-term exploration programs. This means drilling more wellbores. The products and services customers require for drilling more wellbores benefit Halliburton. For example, in one of the largest international offshore markets, over 60% of a typical well service cost goes to drilling fluids, cementing and completion hardware. This means more operators spend on services where Halliburton has a leading position. Baroid, our drilling and completion fluids business entered this cycle as the leading fluids provider globally. During the downturn, we brought the chemical supply chain closer to our international customers and localized our workforce. This improved our cost competitiveness and the margins. We introduced new advanced chemistries and now run fluid systems that make better wellbores and create value for our customers and Halliburton through higher margins and lower inventory requirements. Halliburton was founded as a cementing company over 100 years ago. And since then, we never stopped leading and innovating in cementing. Every well in the world, be it a mature producer in the Middle East or a deepwater wellbore in Brazil, must be cemented. The secret to our enduring success in cementing is our capacity and drive to innovate and develop new methods to design, deliver and validate sustainable well barriers. Our latest innovation is the Cognitive Automated Cementing Platform, which allows us to deliver cement jobs autonomously. With limited human direction and intervention, a standard offshore cementing operation typically requires over 300 commands. The Cognitive platform consolidates and automates this to only five mouse clicks by an onshore operator. We already completed over 70 cementing jobs using the system in the North Sea, delivering safer operations, improved service quality and cost efficiency. Well completion tools constitute a larger portion of well services spend internationally than in North America, and they are high tech and high value-add products and services. Halliburton is a global leader in completions technology, especially in advanced completions that include sand control solutions, multilateral wells and intelligent completions. With over 20 years of multilateral installation experience globally, Halliburton is the market leader in multilaterals, a key technical component in many development wells. They help operators increase reservoir drainage in mature fields, address limited subsea infrastructure and reduce environmental impact. Over the past few years, we've strengthened our completion tools product service line in Singapore, which is closer to our international customer base and supply chain sources. With our world-class manufacturing facilities, strong local technical support and continuous innovation, Halliburton completion tools position us to outperform in the international upcycle. Another key well construction service is directional drilling. Over the last five years, we made a concerted effort to improve our drilling technology competitiveness. Our strong D&E margin performance this year demonstrates that our investment is paying off and we expect it to continue as international drilling activity ramps up. Our iCruise intelligent drilling system delivers excellent results. It now constitutes about half of our rotary steerable fleet and has been a key contributor to year-over-year margin improvements, which reflects its higher asset velocity compared to prior generation tools. Last month, for a Middle East customer, Halliburton achieved a new world record, the longest well ever drilled at 50,000 feet measured depth. This extended reach well redefine what's possible with advanced drilling technology. In many regions, as customers face increasing operational challenges and urgency to increase production, I expect that the adoption of integrated contracts will continue to grow. Today, about 20% of our international revenue comes from integrated projects, and this percentage is considerably higher in some markets like Norway, Mexico and Iraq. Halliburton's strong project management capabilities and a proven track record, compress the learning curve and drive cost savings and efficiencies for both us and our customers. The future is without a doubt, more collaborative. Customers across the world increasingly call on Halliburton for collaboration and that perfectly fits with our value proposition to collaborate and engineer solutions to maximize asset value. Geographic presence is very important in the international markets, and today, we are present everywhere that matters, which is different from prior cycles. We expect to benefit from our established footprint, geographic presence and customer and supplier relationships as international markets grow. Finally, I want to highlight the international growth opportunity Halliburton has in artificial lift and specialty chemicals, which is new for this upcycle. This month, we completed our first year of operations on our electric submersible pump contract in Kuwait. We have already installed almost 200 ESPs, built an artificial lift service facility in country and delivered excellent performance for KOC. We also have successful installations in Oman and have ongoing ESP trials in Saudi Arabia. Upon completion of trials at the end of the year, we expect prequalification to participate in Saudi Aramco's future artificial lift tenders. Latin America is another successful market for our artificial lift business, where we operate in all significant land markets and just installed our 500th ESP in Ecuador. Our new chemical reaction plant in Saudi Arabia mixed the first batch of chemicals last month and is on track to meet its ramp-up goals. This year, we expect the plant to manufacture products for our production chemicals contract with a large IOC in Oman and chemicals for our drilling fluids, specialty chemicals and hydraulic fracturing product service lines. Today, Halliburton is a much stronger international competitor and we expect to benefit more from this multiyear upcycle than ever before. This aligns perfectly with our strategy to deliver profitable international growth. Turning to North America. This market remains strong, steadily growing and all of it sold out. Our strategic priority is to maximize value in North America by focusing on cash flow and returns, not market share. The second quarter saw another step-up in both US land rig activity and stages completed. With the first quarter sand supply interruptions resolved, frac activity steadily increased throughout the quarter. As we look at the second half of 2022, Halliburton remains sold out. As for the overall market, I believe it will be all but sold out for the second half of the year due to service company discipline, long lead times for new fleets and supply chain bottlenecks for consumables. We expect public companies will steadily execute on their drilling and completion programs. Private E&Ps capitalized on available rigs and equipment in the first half of the year and will likely maintain a measured level of activity growth for the rest of the year. We continue to believe that North America operator spending growth will eclipse 35% this year. Our customer conversations have already pivoted to 2023 plans well in advance of the typical time frame. These conversations make it clear that equipment capacity for 2023 is tight. Today, we see a services market in North America that is almost unrecognizable from prior cycles or even a handful of years ago. I believe that the returns focus we now see in the services market is not a temporary phenomenon. The largest more publicly traded pressure pumping companies now account for about two-thirds of the market. This means that investors force discipline on the majority of the industry today. In addition, industry consolidation, structural changes to customer behavior and the requirement to self-fund capital investments all drive capital discipline. In short, it's the result of rational economic behavior and I believe that it is here to stay. Halliburton is well prepared to compete in this new paradigm in North America. We have the largest technology budget in the North American services industry and our advanced technologies deliver what matters to operators: efficiency, insight and emissions reduction. For example, today, our customers can reduce environmental impact with our proven Zeus electric frac offering and optimize completions performance by capturing downhole insight with our SmartFleet intelligent fracturing solution. We operate in every major oil and gas basin across the United States using the same design of equipment built by in-house manufacturing to our specifications. This one design approach greatly simplifies equipment maintenance and helps minimize the supply chain challenges for spares and equipment. Finally, we have global capabilities in managing supply chain and labor complexities that we believe give us a distinct competitive advantage over domestic service providers. To conclude on North America. I expect Halliburton to uniquely maximize value in the strong, steadily growing and all but sold-out market. Globally, supply chain and labor shortages are front and center for many industries as the post-pandemic recovery stressed both raw material supply and transportation logistics. I believe Halliburton manages these shortages better than competitors. Our global business development, supply chain and technology organizations closely monitor market trends and work to mitigate cost impacts through economies of scale and global procurement, technology modifications and efficient sourcing practices. For example, as chemical costs increase, we work with our customers to adjust our pricing for cost inflation. Operators appreciate that these price adjustments are required for us to continue delivering our services. Most customers expect and accept these adjustments. Halliburton's world-class technology organization gives us the ability to change formulations for certain products to avoid the most inflationary inputs. We have already implemented these design changes for some of our drilling fluids and completion tool elastomers. Finally, we have internal chemical manufacturing capabilities in the US and Saudi Arabia, which allow us to diversify supply, mitigate risk and better control input prices. In North America, we employ our global HR capabilities for managing commuter labor to hire out of basin and avoid labor shortage pressures in local markets. This allows us to secure talent from states outside of white hot labor markets in traditional oil and gas basins. At the same time, our voluntary attrition numbers remained stable, both globally and the US. This demonstrates that once we attract the right talent, we provide them with the right incentives and growth opportunities. Turning now to pricing dynamics that we see playing out in North America and internationally. As I stated before, this is a margin cycle, not a build cycle. In North America, net pricing improvements drove our strong C&P margin expansion in the second quarter, and I expect pricing gains to continue. Here's why. Existing active equipment and experienced crews are in high demand and will continue to be highly sought after to efficiently execute programs in the second half of this year and into 2023. The market remains all, but sold out. Supply chain bottlenecks even for diesel fleets make it almost impossible to add incremental capacity this year. Halliburton has the additional advantage that our fleet primarily competes at the higher end of the pricing spectrum. Our portfolio of low emissions equipment commands premium prices and our customers see value in the efficiency and emissions profile we provide. Internationally, we see structural tightness in many product lines, particularly drilling and wireline. Increasing activity soaks up capacity market-wide. And recently, some customer request for additional equipment had to go unanswered. As equipment availability continues to tighten, we expect prices will increase further. Due to the long-term nature of international contracts, only about one-third of our work re-prices every year. This means that margin and pricing inflections internationally will always materialize at a slower pace than in North America. We see evidence of customer urgency indicated by customer preference to pursue direct negotiations for contract extensions. The efficiency gains over the last several years have all accrued directly to operators, and there is still a great deal of room in customer's economics for service providers to earn a fair and durable return. So it often goes unsaid, a robust and investable service industry is a key enabler of our customers' ability to grow and maintain production to address the world's energy needs. I'm thrilled with Halliburton's performance in the second quarter and our immediate and long-term opportunities. Our team is executing well on near-term tactical objectives and the long-term strategic priorities provide real tangible value for Halliburton and our shareholders. Halliburton's competitive position is unique among our peers. We have the scale and technology to benefit meaningfully and differentially from the international market expansion, and we are the leader in the strong, steadily growing and all but sold out North American market. I could not be more excited about the future of Halliburton. Now I will turn the call over to Eric to provide more details on our second quarter financial results. Eric?
Eric Carre: Thank you, Jeff, and good morning. Let me begin with a summary of our second quarter results, compared to the first quarter of 2022. Total company revenue for the quarter was $5.1 billion and adjusted operating income was $718 million, an increase of 18% and 35%, respectively. Higher equipment utilization and net pricing gains supported these strong results. In the second quarter, we recorded a pre-tax charge of $344 million as a result of our decision to exit Russia due to sanctions. Now let me take a moment to discuss our division results in more details. Starting with our Completion and Production division, revenue was $2.9 billion, an increase of 24% while operating income was $499 million, an increase of 69%. These results were driven by increased pressure pumping services in the Western Hemisphere; higher completion tool sales globally, increased artificial lift activity in North America land and Kuwait, and improved cementing activity in the Eastern Hemisphere. These improvements were partially offset by lower stimulation activity in Oman and decreased artificial lift activity in Latin America. In our Drilling and Evaluation division, revenue was $2.2 billion, a 12% increase, while operating income was $286 million, a decrease of 3%. This revenue increase was due to higher fluid services and wireline activity globally, increased project management activity in Latin America and the Middle East, and increased drilling services in Latin America. Operating income decrease was driven by seasonally lower software sales globally and decreased drilling services in Brazil. Moving on to our geographic results. In North America, revenue grew 26%, primarily driven by increased pressure pumping services and artificial lift activity in North America land, increased fluid services, wireline activity, well intervention services and higher completion tool sales across the region and increased cementing activity in the Gulf of Mexico. These increases were partially offset by lower stimulation activity in the Gulf of Mexico. Turning to Latin America. Revenue increased 16% due to improved activity across multiple product service lines in Argentina and Colombia, increased stimulation and well construction services in Mexico, increased drilling related services in the Caribbean, improved stimulation activity in Brazil and higher project management activity in Ecuador. Partially offsetting these increases were decreased drilling related services in Brazil and lower artificial lift activity in Argentina and Ecuador. In Europe/Africa/CIS, revenue increased 6% resulting from higher activity across multiple product service lines in Angola and Eastern Mediterranean, improved cementing activity, pipeline services, wireline activity, and testing services across the region and increased through its services and completion tool sales in the UK. These increases were partially offset by the impact of the wind down of our business in Russia and decreased drilling services in Norway. In the Middle East/Asia region, revenue increased 14%, primarily resulting from higher activity across multiple product service lines in the Middle East, Australia and Brunei. These increases were partially offset by reduced stimulation activity in Oman. All regions experienced a seasonal decline in software sales. In the second quarter, our corporate and other expense was $67 million, which was higher than expected due to the timing of employee incentives. For the third quarter, we expect our corporate expense to be slightly lower. Net interest expense for the quarter was $101 million and should remain about flat for the third quarter. Other net expense for the quarter was $42 million, primarily related to currency losses driven by the strength of the US dollar. For the third quarter, we expect this expense to remain about flat. Our normalized effective tax rate for the second quarter came in at approximately 22%. Based on our anticipated geographic earnings mix, we expect our third quarter effective tax rate to be slightly higher. Capital expenditure for the quarter were $221 million and will steadily increase for the remainder of the year. For the full year, we expect our CapEx to remain at 5% to 6% of revenue. Turning to cash flow. We generated $376 million of cash from operation and $215 million of free cash flow during the second quarter. Working capital investments grew to support the 18% sequential revenue growth. As is typical for our business in an upcycle, we anticipate free cash flow for the year to be back-end loaded and expect to generate free cash flow at or above last year's level. Now let me turn to our near-term outlook. In the Completion and Production division, we expect third quarter revenue to grow in the mid-single digits and margins to improve 75 to 125 basis points. In our Drilling and Evaluation division, we expect our third quarter revenue to grow in the low to middle single digits. As a result of activity improvements, we expect D&E margins to be flat to up 50 basis points. I will now turn the call back to Jeff.
Jeff Miller: Thanks, Eric. To summarize our discussion today, we are still in the early innings of a multiyear upcycle. The oil supply and demand fundamentals remain constructive for both international and North America markets. The steps we took to improve operating leverage, lower capital intensity and strengthen our balance sheet set Halliburton up to outperform under any market conditions. Internationally, Halliburton is a much stronger competitor, and we expect to benefit more from this multiyear upcycle than ever before. This aligns perfectly with our strategy to deliver profitable international growth. In North America, I expect Halliburton to uniquely maximize value in the strong, steadily growing and all but sold out market. We will continue to execute on our strategic priorities and remain committed to driving profitable growth, margin expansion, strong free cash flow and returns for our shareholders as this multiyear upcycle unfolds. And now let's open it up for questions.
Operator: [Operator Instructions] And our first question coming from James West from Evercore ISI. Your line is open.
James West: Hey, good morning, Jeff. Good morning, Eric.
Jeff Miller: Good morning, James.
Eric Carre: Good morning, James.
James West: So Jeff, as you think about the cycle from here, we're clearly setting up for a pretty strong and healthy upcycle where the operating leverage is really in the early days of showing up. But how do you think about the next several quarters, maybe several years if you want to take it that far, playing out in terms of the cycle, there seems to be a growing -- at least from what I can tell, growing urgency from the customer base to bring production or accelerate activity levels from here. And so we could be in a position where you see growth that moves much higher than kind of the steady growth we've seen so far, but could be at a tipping point.
Jeff Miller: James, yes, agree in terms of the outlook. In fact, what I see is a lot of duration in this cycle. I mean, obviously, it's been moving up, and I expect it continues to move up. But the reality is if operators can be busy, particularly international, they are. And the tightness around oil supply is not something that's resolved quickly after seven, eight years of underinvestment. And so while I'm excited about the inflection and the improvement in the upcycle that we see, I have to say I'm equally excited about the duration. This is multiples of years, I was a decade in the making. It's many years in the undoing in terms of producing. And so I think this is a fantastic time for operators and an even better time for Halliburton.
James West: Right. Right. Okay. That makes sense. And then from a competitive standpoint, are you seeing the discipline that maybe we hadn't seen in prior years from your competitors, but it seems now like everybody kind of is on the same page as its returns, its margin. And so are you seeing the same kind of pricing discipline that I know you guys are exhibiting the market?
Jeff Miller: Look, pricing is improving around the world. And it's a rational -- it's the allocation of assets and it's moving them to the highest returning opportunities. And that's not unique to Halliburton in terms of expectation of return. I mean, we clearly want to improve our returns and plan to do so. But that's part of this different cycle, different market dynamics in the sense that returns and return of cash matter to our shareholders. And the best way to do that is to not just improve utilization, but improved returns on every asset. And clearly, the approach we're taking and our whole strategy internationally is built around profitable growth, which is, I think, precisely what you saw this quarter and what you'll continue to see from Halliburton in the future.
James West: All right. Okay. Got it. Thanks, guys.
Jeff Miller: Thank you.
Operator: Thank you. One moment for our question. And our next question coming from the line of David Anderson from Barclays. Your line is open.
David Anderson: Great. Thanks. Good morning, Jeff.
Jeff Miller: Good morning, David.
David Anderson: Good morning. So nice increase in the North America top line this quarter, well above the rig count, wondering if you could put this into context for us in terms of the customer base that was sort of the incremental driver here? Was it the privates or the public, I guess, is sort of the core question. Along those same lines, I was just wondering, if you could talk about your customer mix and how you're thinking about it. On the one hand, with all the equipment shortages, I would think you could push pricing further with the private. But on the other hand, of course, you get the – the more visibility, the larger E&P program. So I was just wondering if you could maybe talk about that optimal customer mix today? And does a potential for any recession come into consideration in terms of that mix.
Jeff Miller: Yeah. Let me start with the first part of that question. The activity was really in both camps. We saw a lot of activity. Obviously, a lot of the interruptions in the first quarter were out of the way. And so we had a full utilization quarter, which was certainly a positive from an activity perspective, and that applied equally to privates and publics. Really from a pricing standpoint, important that, we're iteratively moving on pricing and I would argue that's again, consistent in both groups. And from a visibility standpoint, I think it's important to note, I mean, A, we love our customer mix today. I want to be clear. And it maybe slightly weighted towards publics, but that is really – the privates we work for are big privates. And there are some privates that are bigger than public out there in the marketplace and work for them. And they have terrific visibility as well. So I mean the privates, just like the publics, fully understand, A, that OPEC spare capacity is not there or they would be meeting their quotas. They have great visibility of the supply and demand for oil in our business. And that dialogue has been about 2023 capacity for Halliburton to provide either more equipment or more services, not recession. I can promise you that it's not the discussion, the discussion and what we see in our business is activity demand moving up. We see a tighter 2023 than we see in 2022. So all of these signals and in our business are extremely positive.
David Anderson: Absolutely, I agree. And also I think also noteworthy how your margins are now back to 2014 levels. That's really impressive, I would say. A separate question, Jeff, on the Middle East, you highlighted a 14% increase in revenue this quarter a bunch of contracts are starting up. You mentioned project management that Kuwait ESP project is moving well. It sounds like there's more tenders to come. Question, are we already starting to see the ramp-up in the Middle East? Maybe you could just, kind of, give us your sense of what's going on in the ground in terms of mobilization and the pace of activity. I think you highlighted kind of service discipline over there in terms of pricing. So hopefully, that's looking pretty good. But maybe just tell us what's happening on the ground today? I know we've been waiting for this for a while.
Jeff Miller: Look, I think we're still early innings of Middle East. And so more activity, yes; activity underway, yes. But in terms of supply chain or let's just think more broadly around equipment, rigs, et cetera, those don't come back to work instantaneously. And so I -- my view is there's a lot more demand for services in the Middle East certainly than we're seeing today. So I would say as equipment can be mobilized as projects get underway, I think there's a lot more of that to come.
David Anderson: Good to hear. Thanks Jeff.
Jeff Miller: Yeah. Thank you.
David Coleman: Next question please.
Operator: Our next question coming from the line of Arun Jayaram from JPMorgan Chase. Your line is open.
Arun Jayaram: Good morning Jeff.
Jeff Miller: Good morning.
Arun Jayaram: Jeff, I was wondering if you could talk a little bit about how is contracting philosophy in North America this cycle. Is it consistent with typical cycles, but I want to get your thoughts on that. You've been essentially sold out for some time now, and we're just trying to gauge the velocity of pricing gains, which could manifest in the second half of this year versus 2023 when a lot of your customers are armed with new budgets?
Jeff Miller: Yeah. Look, I'd be crazy to get into all of those details on a call. But philosophically, I mean, our -- in practical -- in practice, I mean, prices are moving iteratively. And I think that's an important component of what we're seeing when market's tight like this. We ratably look at the best opportunity for assets and what that drives this approach to pricing, which is one that we've seen until now. And so as we look out into the future, in a market like this, we maintain optionality, but we also have very good customers with deep relationships. And because of that, there's a premium on equipment that is working and efficient, particularly in a market that looks like this. And so, look, our customers understand that a vibrant service industry is a critical component of their ability to deliver what they have to deliver. And so I think that as we look out through this year and really into next year, we ought to continue to see improvement in pricing.
Arun Jayaram: Fair enough, Jeff. I wanted to talk a little bit about specialty chemicals and artificial lift. You've highlighted how this provides some unique growth opportunities for how the cycle -- I was wondering if you could maybe help us think about just at a high level, what are some revenue or growth opportunities for how -- from these two segments. Again, we're just trying to estimate what this could mean for your full cycle earnings power?
Jeff Miller: Yes. I want to -- I'm going to -- it's a meaningful opportunity. I mean I think if you go look at total available market for artificial lift, for example, we have a leading position. Actually, some it's number one in the US today and we are just beginning internationally. We've got talked about the growth we've seen, but it is a drop in the bucket compared to what that total available market is out there for lift internationally. And of course, we're super pleased with the technology at Summit, and it's just a matter of growing that business internationally, which the examples I've given you are examples of us doing that. But I would say this is the -- there is the beginnings on what's possible.
Arun Jayaram: Yes. Fair enough. Thanks a lot, Jeff.
Jeff Miller: Thank you. Next question.
Operator: One moment for our next question. And our next question coming from the line of Chase Mulvehill with Bank of America. Your line is open. One moment.
Chase Mulvehill: Yes. Good morning. Real quick, just kind of a follow-up on the 2Q guide and maybe we'll just chalk it up to conservatism. But if we think about the top line, I think if you kind of blend things together from your segment guidance, it kind of implies a 4% or 5% sequential growth in top line. But if we kind of step back and think about expectations for North America and International, I would have expected both North America and international revenues to actually outpace that 4% to 5%. So just kind of help us connect the dots and maybe Russia is a little bit of a drag in 3Q, but just kind of help us connect the dots between North America and international relative to your guidance.
Jeff Miller: Well, I think the first half outperformed. It's a strong year. So I still see us eclipsing 35%. That means more than 35%. The international outlook for us includes Russia dropping out in Q3. So the guide that we have given in the 3% to 5% and that range overcomes Russia, which is exactly what we thought would happen. We thought there would be outsized spending outside of Russia likely to compensate for that, and that's precisely what we're seeing. North America, I'd describe it as steadily growing. And I think that's what steadily growing looks pretty strong on the first half, and it continues to grow. I think that the market is very positive. We got to put a number on it, but it's certainly been strong until now, and this continued to really outperform consistently, so -- 
Chase Mulvehill: Okay. Makes sense.
Jeff Miller: This is clearly not -- this is not a step back. This is a step forward in both hemispheres, both US and international.
Chase Mulvehill: Yes, makes sense. I mean, you've got a history of beating expectations, so we'll just kind of leave it there. The follow-up here, if we think about leverage ratios, obviously, they're falling pretty quickly. Your outlook remains robust. It looks like maybe early next year, you might hit 1 times on a leverage ratio. So it puts you in a position to really kind of focus more on returning cash to shareholders really over the next, call it, 6 to 12 months. So could you talk to this a little bit and how you're thinking about buybacks versus dividends and just kind of overall frame kind of the shareholder -- the cash return to shareholder framework.
Eric Carre: Yes. Let me take that one, Chase. It's Eric here. So I'll start by saying that the most important point here is that our priorities as a company have not changed. So maybe let me summarize how we think about this. So first, to your point, we'd like to continue to pay down more debt. Then we would like to continue to return more cash to shareholders. From that perspective, our buyers right now is toward increasing the base dividends but would like at some point in time to address dilution as well. And if you look at the progress that we've made, we've made significant progress actually towards these objectives since the beginning of 2020. We've retired $1.8 billion worth of debt, $600 million this year. If you look at what's ahead of us, we have about $1 billion coming up between 2023 and 2025. Once that is retired, we basically have a clean slate until 2030, which is going to give us great flexibility. The other point I would make is that in Q1 of this year, we did both. So we did retire that and we increased dividend about triple -- pretty close to triple the dividend. So these things don't necessarily need to be done sequentially. We can do them at the same time. And finally, I would say that we fully expect to continue to grow shareholder distribution as the upcycle accelerates. Yes.
Chase Mulvehill: Okay. Perfect. I’ll turn it back over. Thanks, Eric. Thanks, Jeff.
Jeff Miller: Thank you. Next question, please.
Operator: Our next question coming from the line of Neil Mehta with Goldman Sachs. Your line is now open.
Neil Mehta: Yes. Thank you, Jeff. Thank you, team. First question is just the 400 basis point margin improvement target, clearly making progress towards it. Maybe just talk about your views on when you think you can get there and whether there's some upside skew given the commodity macro.
Jeff Miller: Thank you. Look, our -- my long-term outlook is unchanged except that it's biased upwards. In fact, I'm more bullish than I was before. I want to be careful and not get in the business of trying to update that every quarter. But our outlook, my outlook on sort of the trajectory of the market today, the macro in terms of supply shortage, short oil in the world. And I think really importantly, not only is the price of the commodity, always important. Energy security has moved back central -- front and center for a lot of countries and continents. And so that's going to just put further support under my outlook in terms of being busy, the type of activity I described in terms of more wellbores. That's a really important point, meaning that making more barrels is going to look like a lot more development work, a lot more tie back kind of work, and I've described sort of a lot of that spend or right in areas where Halliburton leads, whether it's drilling fluids, cementing and completion tools and then the progress we've made in other parts of our business, I think sets up very well. So without trying to update that outlook, hopefully, I'll give you enough color that we feel really good about it.
Neil Mehta: Yes. That's good color. And then the follow-up is on working capital and free cash flow, to your point. Free cash flow did come a little softer than we were expecting, but a lot of that is working capital, which is consistent with an upcycle. So just talk about the back half progression in free cash flow as you see it and anything that would need to keep them up.
Eric Carre: Yeah. Good morning, Neil. It's Eric. So the headline is expect free cash flow to follow the typical upcycle profile. So, basically, very heavily loaded towards the second half of the year. And we feel very good about the outlook of the business. The working capital built in Q2 was really to support our growth. So our revenues went up 18%, about $800 million Q2 over Q1. But what was really good is that the efficiency of our working capital improved versus the prior cycle. So – and we have to do that while managing inflation, managing longer lead time in the supply chain. So we're very pleased with how our organization has managed the situation and the overall progress we're making. So as we get into H2, I think the situation will evolve, and we fully expect to deliver on the free cash flow targets despite the working capital headwinds we had in H1.
Neil Mehta: Thank you, guys.
David Coleman: Next question.
Operator: One moment for our next question. And our next question is coming from the line of Stephen Gengaro with Stifel. Your line is open.
Stephen Gengaro: Thanks, and good morning, gentlemen. Two things for me. I think the first is, when you look at the domestic frac business, and you obviously, you talked about consolidation you guys have stuck to your plans on CapEx. Are you seeing much out there as far as the new builds in the industry? And maybe talk a little bit about lead times for new equipment at this point?
Jeff Miller: Yeah. Thanks. The – A, the lead times are still quite long. I mean – and so I think probably a year to meaningfully do anything. But the market has changed. And so A, we haven't had any meaningful additions into this business at all in six years. So that's a long time. And if I think about our business, I mean, we're always replacing the aging part of our fleet. That's not adding capacity. That's just simply retiring equipment or equipment that's unable to operate or gets damaged in the process of working, which that happens, too. And so at some level, addressing attrition at the bottom end of the fleet is important. And that's one of the reasons – we do that. That's one of the reasons we have Halliburton one of the healthiest fleets in the industry. The other broad thing that's happening, I would say, is this conversion to lower emission, which again is not adding capacity, but I would see it as a conversion. But the supply chain issues I started with are very real. And I think given the consolidation in the industry, the sort of lack of capital broadly to invest, I think what you'll see – I think -- I'm just going to guess others view the fleet the way that I do. And I think that what that means is that, we won't see capacity adds.
Stephen Gengaro: Thank you. And then when we think about – you mentioned the pricing dynamics that you've seen, obviously, things are strong. Has there been any pushback from the E&P side? I mean, I know they're always not trying to take a lot higher prices, but have you seen any material pushback, or just because it's so tight, it's been fairly easy discussions.
Jeff Miller: It's always a discussion, respectfully. But I also think what underpins this is how important service industry is to delivering on what our operators need to do. And I think there's clearly a recognition of that. And so always a discussion, always some back and forth, but realistically, our operators require quality services, and that means fleets that are well-maintained, fleets that are -- attrition is dealt with. And better efficiency in our case, better technology. All of that's appreciated and realized that that has to make solid returns for it to remain vibrant. And I think that's what underpins those conversations.
Stephen Gengaro: Great. Thank you.
Jeff Miller: Thank you. Next question.
Operator: One moment for your next question. Our next question coming from the line of Marc Bianchi with Cowen. Your line is open.
Marc Bianchi: Thank you. Jeff, you mentioned you had been speaking to some customers about 2023. What kind of increases are they talking about for North America and International?
Jeff Miller: Look, I think it's consistent with making returns, but up. So let's start with surety of supply. Internationally, it's probably more around ability to supply. I think that operators, particularly in the US, understand returns and shareholder returns, and so do we. And so I think we see a steady march up, but a healthy march up in the sense that as we described, a lot of duration to this cycle, which I think is much welcome by us and I think by our shareholders are going to benefit from that meaningfully because of the duration. So the -- you look at how we've improved the capital intensity of our business, our clients view it the same way. And I think that -- so what we're going to see is more activity, no question, because there's going to be demand for the commodity. But it's -- so it's more around could you add one or do you have an extra one and really a lot of that dialogue given lead times and commitments around our own capital. And I think broadly, the industry's commitment around capital as it comes down to what's the highest returning opportunity for that equipment is more of what that discussion goes like.
Marc Bianchi: Okay. Thanks. And on D&E, do you think you can get back to first quarter margins this year?
Jeff Miller: Yes. I mean the D&E -- the short answer, yes. Longer answer is that I'm really pleased with the progression and the progress we've seen with D&E margins. If we -- I've always said take a long view of D&E margins and I expect them every year to be higher than last year and next year to be higher than this year. There is some seasonality in that D&E business, both where we work in the world and some of the components that comprise D&E. But the target, and clearly, the expectation by me is that we are just layering on that seasonality a step up every single year, and that's what we've seen.
Marc Bianchi: Great. Thanks so much.
Jeff Miller: Thank you. Next question.
Operator: Thank you. I’m sorry, that concludes our question-and-answer session for today. I would now like to turn the call back over to Mr. Jeff Miller for closing remarks.
Jeff Miller: Okay. Thank you, Olivia. Before we close out the call, let me just reiterate, Halliburton's performance during the strong quarter demonstrates that we're executing on the right strategy in the international and North America markets to drive value for shareholders throughout this multiyear upcycle. I look forward to speaking with you next quarter. Please close out the call.
Operator: Ladies and gentlemen, thank you for your participation. You may now disconnect.